Vesa Sahivirta: Good morning, everyone, and welcome to Elisa's Third Quarter 2025 Analyst Meeting and Conference Call. I'm Vesa Sahivirta, Head of Investor Relations. And here together with me is a very familiar team, CEO, Topi Manner; and now for the last time, CFO, Jari Kinnunen, who will leave us in the end of the year. We have also our incoming CFO, Kristian Pullola here, but now he is in the audience still. Next week, by the way, we are in a roadshow together with Kristian and Jari. But now going through the agenda of the day and following the normal practice, we start the presentation followed by Q&A. And now I give word to Topi. Please go ahead.
Topi Manner: Thank you, Vesa, and good day, everybody here in the room. And those of you who are joining remotely. Welcome to this earnings call also on my behalf. I understand that there are quite many quarterly reports today in the Nordics as well as throughout Europe. So let's jump right into business and try to be relatively condensed with the presentation so that there will be time for Q&A. In terms of the highlights of the quarter, the revenue of Elisa increased with 4.6%. That was very much driven by the international software services as well as mobile service revenue. The mobile service revenue landed at 3.3%, that was supported very much by the 5G upselling and also the introduction of security features to our mobile plans. And then pointing to other direction was especially the competition in the 4G category of mobile subscriptions. In international software services, our revenue increased with 53% roughly. The comparable organic growth was 3%, impacted by some project delays related to the tariff-related uncertainties in the global market. EBITDA was up with 3.7%, solid as such. What was very, very good to see is that the comparable cash flow grew with more than 12% from the Q2 level, which was already an all-time high level. This was on the back of the increasing EBITDA, strict CapEx discipline and also the net working capital management. In Finland, the post-paid churn increased to 22% or a bit more than 22%, indicating that the competition was quite intense during the quarter. Post-paid subscriptions decreased by 20,000 a bit more. Of that, close to 6,000 were related to machine-to-machine and IoT subscriptions. There is some quarterly fluctuation in this one. In Q2, we won quite a bit of post-paid subscriptions, especially in the corporate side of the business. And therefore, it is useful to take a little bit longer perspective on this. The fixed broadband subscription base increased by close to 5,000 and the fiber-related revenue starts gradually to pick up. So if we look at our revenue in total, it was indeed supported by the international software services and mobile service revenue. What was also good to see is that the fixed service revenue turned to growth during the quarter. That was impacted by some customer wins in the corporate networks in that side of the business. And then as mentioned, also the fiber-related revenue is starting to pick up and then being visible this quarter. EBITDA landed at EUR 214 million. Mobile service revenue, as mentioned, was 3.3% in terms of growth, supported by the introduction of the mentioned security features. And that particular change, that offering change has been well received by customers. We have now enrolled something like 600,000 customers to this offering, and that was supporting the MSR growth. The churn number was especially, as mentioned, impacted by the competition in the 4G category, especially in the low-speed tiers of the 4G category. And we saw some campaigning basically throughout the quarter in this one. So then looking into the various business areas that we are having. The Consumer business was impacted by the mentioned mobile competition. Revenue up 0.9%, EBITDA up 0.4%. Corporate business on its turn had a strong quarter, revenue increased with 5.6%, especially boosted by the price increases in the corporate side of the mobile business. The mentioned fixed service revenue contributed positively also interconnection and roaming. And EBITDA grew with 3.6% in the Corporate business. So a good quarter for that segment. In International Software Services, our EBITDA during the quarter improved with EUR 5 million. And if we look at the first 9 months of the year, profitability-wise, we are now effectively in breakeven for the first 9 months in that business in terms of EBITDA. And that is ahead of the fourth quarter that typically is the strongest quarter in software business in terms of revenue and in terms of EBITDA. Then this morning, we announced that we are introducing a transformation program to accelerate the implementation of our faster profitable growth strategy. So coming back to our strategy, the one that we communicated in our Capital Markets Day in March, simplicity and productivity is very much a fundamental of that strategy. Simplicity and productivity is enabling the growth in our 4 growth pillars, namely 5G & Fiber, Home Services, Corporate IT & Cyber and International Software Services. We have been working with simplicity and productivity with continuous improvement measures in the past. And now we are accelerating the implementation of that. With the aim to simplify our operations, improve agility and speed of decision-making in the company and with that, enable growth. And at the same time, we are taking swift action to improve the cost competitiveness of our business in the current market environment. With the transformation program, we are aiming for EUR 40 million of annual cost savings during the calendar year of '26. And with these measures, we ensure that we will achieve our midterm revenue and EBITDA targets, the ones that we set for ourselves in the CMD. So when we look at that what the transformation program includes, it will be about organizational streamlining, delayering the organization. It will be very much about process simplification, process optimization, also cross-functionally within the organization. It will be also about scrutinizing our outsourced services, most notably the use of IT consultants in the organization, renewing our software development model. And then we are resetting our procurement effectively and finding efficiencies in the procurement space of the company. In the organizational streamlining, in the changes related to the way of working, we will be utilizing more and more automation and AI, and that is an element that is embedded in the transformation program. But as stated, the bottom line is that this is in line with our communicated strategy, accelerating the implementation of the strategy. When we look at the mobile business in a bit more detail, the 5G upselling continues with the trend that we have seen in the past. I mentioned upgrades related to security features are supportive of the mobile service revenue. As stated, we have now enrolled something like 600,000 customers, and that enrollment rollout process will continue in phases in cohorts during the course of this year but especially going into '26. We have been also launching new types of security features, scam call blocking for foreign numbers being one of the examples, and that has been now well received by customers. And the initial take-up rate is encouraging. We also had a nice opening with private 5G standalone networks with slicing technology in one of the ports in Finland, where we are able to serve our customers with the kind of technology, standalone slicing technology that our local competitors do not have at this point of time. So a good reference case for similar opportunities in the future. When we look at the fiber business, as mentioned, we are starting to see strong revenue momentum in that part of the business. And our accelerated network construction is being continued as we speak, all within the 12% CapEx to sales envelope that we are having. Then just quickly looking into the digital services. In the Home Services space, we introduced a new Elisa original service called Icebreaker and the international distribution actually for that one has started well in a number of European countries. In terms of Home Services, in energy solutions for households, our home battery solution now has a coverage of 70% in Finland. We are very -- in very initial stages of the rollout, but we have clearly proven the product market fit, and therefore, an encouraging outlook for this solution for '26 and onwards. In Corporate IT & Cyber, we are clearly very competitive on the market in terms of our cyber offering. And one of the examples is that in cybersecurity, one of the biggest retailers in Nordics, Kesko chose us as their cybersecurity provider in Finland, Sweden, Denmark, Norway, the Baltic countries as well as Poland. So yet again, a good reference case for the future. In International Software Services, in that side of the business, we -- our aim has been to grow more than 10% organically. There, the tariff-related concerns have resulted in some delays of customer projects that have been impacting especially the license and service revenue part of the business. And therefore, when we look into the Q4, when we look into the likely realization of the project, we expect for full year an organic comparable growth between 5% and 10% in this part of the business. However, an important indicator in software business, of course, is the recurring revenue. And the recurring revenue during the quarter grew with 13%, double digits and the year-to-date number is 15%. The share of recurring revenue is increasing all the time in the total revenue of ISS. An interesting individual reference point is in our energy flexibility solution called Gridle, previously called Distributed Energy Storage. And there, we signed a first grid scale battery solution with energy company City of Vantaa for 10 megawatts. So an interesting reference point opportunity to scale for the future. And then finally, when we look at our outlook and guidance for this year, we will keep our guidance in terms of revenue and EBITDA intact. The bottom line being that with the transformation program, we will be accelerating the implementation of our strategy. And with that, I will be handing over to Jari.
Jari Kinnunen: Thank you, Topi. Let's first look at the profit and loss. Q3 continued with good trends, growth trends, solid growth in revenue as well as in EBITDA. Revenue, EUR 25 million increase, 4.6% growth in Q3. If you look at behind the revenue growth levers, overall good development in service revenues, 5.8% growth in service revenues. Mobile services increasing with EUR 9 million, both Consumer and Corporate Customer segment growing 5G customer base increasing and changes in the service offering, security features and price changes in that change all contributing to that 3.3% mobile service revenue in Q3. Fixed services growing EUR 3 million, fixed broadband, especially fiber broadband connections growing also in Corporate segment, corporate networks and related security services contributing to growth. Negative impact in traditional fixed voice services. Domestic digital increase was EUR 2 million. IT services in Corporate segment contributing slight decline in Consumer segment, digital services. International software services increased with EUR 12 million. Acquisitions and sedApta, first consolidation impacting approximately EUR 11 million to acquisitions impact and comparable growth at 3%. Equipment sales flat like was the interconnection and roaming and other. All in all, organic growth totally was at 3%. EBITDA 3.7% growth to EUR 213.5 million. EBITDA margin was strong 38.1%, EBIT 1.9% growth to EUR 138.6 million. EBIT margin was 24.7%. EPS was growing 2.3% to EUR 0.64. In Estonia, improvement both in revenue growth as well as in profitability and revenue was growing 2%. Mobile and fixed services developing positively and negative impact in equipment sales. EBITDA increase was strong 9%, driven by service revenue growth as well as cost efficiency measures. In mobile, post-paid subscriptions, slight decline 1,200, pre-paid base minus 200. Churn came slightly up from Q2, still relatively low at 9.4%. Then CapEx, reported CapEx was EUR 81 million, excluding licenses, lease agreements and acquisitions, the guided CapEx at EUR 65 million and in line both Q3 and year-to-date guided CapEx in line with 12% from sales. Main investments continuing in 5G network as well as fiber network and IT investments. In Q3, cash flow continued good development like has been in the previous quarters. Comparable cash flow was growing 12% as a result of higher EBITDA, lower CapEx as well as lower paid interest. Net working capital change was positive, however, slightly less positive than a year ago. Year-to-date cash flow -- comparable cash flow growth is at 10% through higher EBITDA, positive net working capital change and lower investments and negative impact through financial expenses. Cash flow conversion was improving and EBITDA cash flow conversion at 70% in Q3. Then if you look at the balance sheet and capital structure in line with the medium-term targets, net debt to EBITDA decreased from Q2 to 1.7x. Equity ratio increased from Q2 to 35.7%, and return ratios continue to improve. Return on equity was at 30.7%. Return on investments improved to 18.6%. And in terms of financing, average interest for interest-bearing debt continues same level as was in the previous quarter at 2.5%. And now I give word to Vesa, please.
Vesa Sahivirta: Thank you, Jari. Now we move on to Q&A part. And first, we ask if there is any questions from the audience? No, we don't have. So we go to the conference call lines and ask first question from the lines, please.
Operator: [Operator Instructions] The next question comes from Andrew Lee from Goldman Sachs.
Andrew Lee: I had 2 questions. The first one was just on your adjustments in guidance on the cost-cutting side of things. So 2 incremental things you said today is one that you're raising your cost-cutting expectations to offset mobile service revenue growth weakness and also macro uncertainty weakness. But at the same time, I think what you're saying is that you're seeing a macro improvement in your fixed business. So with your cost savings to offset macro weakness, are you being conservative in your outlook on macro weakness, i.e., assuming it goes -- gets worse again or doesn't continue to improve? Or is there something else going on there? Just a little bit of help in terms of what's changing versus where you're adopting a conservative approach would be helpful. And then second question is just on your mobile service revenue growth, which is, I guess, the big negative surprise today. Could you just give us a bit of a sense of the mobile service revenue growth trend in Q4, just so we can get a sense as to how badly things have deteriorated in terms of the competitive environment versus what you were saying by sticking to the guidance at Q2?
Topi Manner: Thank you, Andrew. If I start on the first one, yes, the transformation program that we introduced aims to have EUR 40 million of annual savings during the calendar year of '26. And when we come back to the macro and especially the impact of macro to fixed service revenue. During the quarter in the Corporate business, we had a handful of very good customer wins that contributed to the fixed service revenue growth. And also the fiber pickup starts to be visible there. I think that these are more micro examples in a sense that they are telling about our competitiveness in terms of fixed service revenue. If I look at the sort of near term for the next couple of quarters in fixed service revenue, I think that we will be seeing some quarterly fluctuations still. And I wouldn't yet say that there has been a macro trend change in this one. But when we look further to late '26 and 2027, we do see that in the fixed service business, there is a possibility for additional growth, revenue and profitability growth in terms of data center connectivity, data center fiber connectivity. So I just want to check whether that addresses at least part of your question? Or did you have something else on mind on that?
Andrew Lee: Yes. No. Thanks, Topi. That was great. Can I just -- just as a follow-up, can I just check that EUR 40 million, is that a net benefit that we can just add on to the EBITDA line? Or is that a gross benefit?
Topi Manner: Yes. Related to the cost?
Andrew Lee: Exactly, yes.
Topi Manner: So the bottom line with the transformation program and with the annual cost savings is that with this transformation program, given all the changes in our business, we aim to achieve our midterm targets, the ones that we communicated in CMD last March.
Andrew Lee: Okay. I thought you said that you're accelerating it earlier on in the call. Maybe I misunderstood that comment on the...
Topi Manner: Yes. We aim to achieve the midterm targets, like I stated, we are accelerating the implementation of the strategy, accelerating the implementation of the enablers for [ growth ]. And then the second part of your question, I guess, was related to the mobile service revenue and the competitive landscape that we are seeing on the market. So on that one, the outlook that we have for mobile service revenue development as of now is that during this calendar year, it will be low to mid-single-digit MSR growth. And as stated, what we have seen now lately is intense competition, more intense competition in the -- especially in the 4G category of things. At the same time, when we look at the total market, the 5G upselling continues. Our bundled offering related to security features has been well received on the market, and we will continue that rollout, and that will be supportive of mobile service revenue. So you need to look at both high end and the low end of the market in order to understand the full dynamic.
Andrew Lee: And how should that play out in Q4? Should we see any kind of material difference to the growth trend you saw in Q3 and Q4?
Topi Manner: When -- I mean when we look at now the competitive situation, Q4 is a bit more challenging before the cost savings kick in at the start of the year from Q1 onwards.
Operator: The next question comes from Owen McGiveron from Bank of America.
Owen McGiveron: It's Owen McGiveron from Bank of America here. On the elevated post-paid churn in Finland, could you just give us a few more details on the moving parts there? How much is hard bundling contributed to the churn? And is it all or the majority from this more competition in the 4G offerings?
Topi Manner: Yes. I think that what we are seeing is that the market is more diverse than it has been in the past. So if we look at the high end of the market, 5G category of business and especially if we look at those cohorts of customers to whom we have been rolling out the new offering with the security features. I think that, that has proceeded well. As stated, we have now rolled out 600,000 customers approximately to the new offering. And when we look at the churn of those customers isolated, that has met our expectations or actually has been a little bit below our expectations. So that means that we do see that customers understand the value and there's a possibility for us to continue expanding that offering. At the same time, at the other end of the market, where consumers are more price sensitive and more prone to be attracted by 4G offerings, then there we see price competition and campaigning. And that has been one of the drivers or the main driver behind the increased churn number from Q2.
Owen McGiveron: Okay. That makes sense. And just a very quick one on the high bundling cohort rollout. In seasonally more competitive Q4, should we expect a slowdown in the rollout of your security offerings to customers? Or do you think you can continue at a steady pace?
Topi Manner: I mean if we look at the rollout schedule for the remainder of the year, the original plan was already that Q4 will be calmer in terms of that rollout. So the rollout pace will pick up in '26.
Operator: The next question comes from Andreas Joelsson from DNB Carnegie.
Andreas Joelsson: Just 2 questions from my side as well. First of all, the delayed projects in the International Software business, how should we view that? Is it more cancellations of orders? Or do we expect that to come back in the near term? And secondly, the cost reduction program usually come with a cost. So what kind of restructuring costs should we expect from that and when?
Topi Manner: Absolutely. So if I take the first one and Jari, you take the second one. So on the first one, in the International Software Services, this is really a delay. So no cancellation of projects. It is a timing issue as such. I mean, typically, in a customer project, when a project starts, there's a license element in terms of revenue, then there is a certain service revenue element related to installing the software, configuring the software. And then there's a significant recurring revenue element on this one. And we are proceeding according to plans in terms of the recurring revenue part in ISS, but the delay of some projects is impacting the license and especially the service revenue part of these projects.
Jari Kinnunen: And the program -- cost reduction program and restructuring charge question. So we -- at the moment, we estimate that there will be a restructuring charge, approximately EUR 20 million, and that will be booked in Q4.
Operator: The next question comes from Paul Sidney from Berenberg.
Paul Sidney: I have 2 questions as well, please. Firstly, on Finnish mobile, if we sort of take a step back and look what you said 3 months ago, you said that Q2 all price increases have landed well, customers have valued the offering of the new services. What's really happened in the past 2, 3 months to change the competitive dynamics so quickly? Just to get a better understanding for that, please? And then secondly, given the competition is mainly at the bottom end, you mentioned 4G. Is there any measures you can take to accelerate the migration to 5G? And also, are you confident that this elevated competition level won't spill over into the 5G market as well?
Topi Manner: Yes. So I mean, if we look at what we said about the introduction of the bundled offering with the security features, not that much has changed between Q2 and Q3 on that category of the offering. We have been moving forward with our original rollout schedule and customers understand the value. We see that the take-up rate of those individual security features is increasing among our clientele. And as stated, that whole initiative is supportive of our mobile service revenue growth at this point of time. What we are seeing is in the market is that especially in the lower end of the market, speaking of predominantly 4G, 4G subscriptions. The competition has been tighter as the churn figure indicates during Q3, there has been campaigning ongoing. When we sort of slice and dice that a bit, one new mobile virtual network operator started during the quarter, Giga mobile in September. That individual player has not impacted the market that much. So the competition in the 4G category is very much between the traditional 3 big players on the market. For us, our stance in this one is very, very clear. We will keep our market #1 position. We will keep our market share in mobile subscriptions. And with the transformation program, we are improving our cost competitiveness on the market.
Paul Sidney: That's great. Can I have a quick follow-up, Topi? Would you consider cutting price at any stage looking forward if the competition levels remain?
Topi Manner: Sorry, Paul. Now I missed some of it. So could you please repeat?
Paul Sidney: Apologies. It was just a follow-up. Would you potentially consider cutting price looking forward? Or is that not an option? You want to continue to compete on quality?
Topi Manner: Yes. We will be a responsible market leader. So we are not fueling the price competition on the market. So we will be a responsible market leader. At the same time, we will keep our market share. I repeat, we will keep our market share. So we will be responding to the price competition if needs be.
Operator: The next question comes from Ajay Soni from JPMorgan.
Ajay Soni: The first one is just around that this 4G low-speed area where you're seeing more competition. I was wondering if you could give us an indication of what portion of your customer base is within that. Obviously, you highlight within the slides, it's around 37%. I think that's for the market, which is below 200 megabits. But what about for you guys specifically within your customer base? And the second question was just a quick clarification. The workforce reductions of -- or the EUR 40 million savings that you expect in '26, do you expect that full run rate to come from Q1 '26?
Topi Manner: Good. So if -- Jari, you take the last one. So I mean, when we look at the various segments of the market, and now, of course, I'm simplifying quite a bit. But our -- we are not disclosing the number of 5G penetration. We are disclosing the number of high-speed penetration, more than 200-megabit penetration where we have all of our 5G customers and then we have some 4G customers. But if we look at the high end of the market and we include all of the 5G subscriptions to that one, we are closing in on 50% of the market in that one. And then the sort of most price-sensitive customer group is not half of the customer base, it's less than that. We are probably talking about roughly 30% plus/minus of the client deal.
Jari Kinnunen: And regarding EUR 40 million cost savings, majority of that comes through personnel reductions. There are other parts, however, on that. And we estimate that from the beginning of the year in Q1, we have a majority of the savings already coming in.
Topi Manner: And still coming back to the mobile competition and the overall dynamics of the market. I think that it is worthwhile to say that we have been seeing times of a bit more intense competition also in the past. If you look at the past 10 years, there have been quarters -- individual quarters when the churn has been on 22% level like now. So the competition comes and goes as such and is of volatile nature. And I think that if we take sort of a mid- to long-term perspective to our market, this is an effectively a 3-player market in terms of mobile services. And we don't think that the underlying rational nature of the market has changed.
Operator: The next question comes from Abhilash Mohapatra from BNP Paribas.
Abhilash Mohapatra: Sorry to come back to the transformation program, please. But it's just interesting that you've put a very explicit number around the cost saving of EUR 40 million linked to the headcount reduction. Just trying to understand, is that -- I mean, is it -- should we be reading something into that, that -- that's the sort of headwind that you're expecting in your business elsewhere due to a combination of all those things you talked about, like sort of mobile competition, macro pressures, and that's why you're looking to do this? Or was this always a part of the Capital Markets Day sort of strategy and you've just now taken this moment to announce this program. How should we be thinking about that, please?
Topi Manner: If I start on this one, and Jari will continue. So it's more the latter of what you have stated. So if you come back to our strategy in Capital Markets Day, simplicity and productivity has always been part of our plans. We have factored that into our midterm targets in terms of EBITDA. We have been working with simplicity and productivity for long with continuous improvement measures. If you look at what we did during '24, there were some productivity measures visible during the calendar year of '24. Now since the Capital Markets Day, we have been working with issues like finding efficiencies from procurement. We have been looking into automation and AI possibilities, cross-functional synergies within our organization, possibilities to delayer in the organization. And now the time has come to accelerate the strategy implementation. And at the same time, there is an element of taking swift action to improve the cost competitiveness in the current market environment, but in this order.
Jari Kinnunen: Yes, I can literally repeat the -- the accelerated growth strategy that we presented besides the concrete growth levers for revenue, important part of that strategy is and also as we presented in the Capital Markets Day, is the productivity cost efficiency development. So it's an elemental part of that strategy. And we will continue also beyond this program to build productivity.
Operator: The next question comes from Artem Beletski from SEB.
Artem Beletski: So I joined the call a bit later. So maybe those have been answered but still coming back to competition situation and the increased intensity during Q3. Could you maybe comment on churn profile, what you have seen during this quarter? So has there been a gradual pickup? Or did it really increase during September months? And maybe how do you see the development in early part of Q4? And the second question is relating to EUR 40 million program. So in the past, you have been doing this type of efficiency actions, but you haven't really been quantifying those ones. So could you maybe provide some color how this EUR 40 million program could be compared to what you have been doing over past years? And maybe just in terms of cost inflation. So could you maybe comment what you see on that front? Just trying to extract what could be the net figure in terms of these actions?
Topi Manner: Okay. So if I quickly start on the churn profile. So looking into Q3, I think that we saw the 4G category competition to pick up in July and basically continue throughout the quarter. And then, of course, there was some campaigning also in September. So basically something that was across the quarter as such. Now looking into Q4, typically, we see campaigning in Q4 during the Black Friday weeks of November and then a calmer period before that. So if we look at sort of very tactically the sort of short-term sort of patterns in terms of churn, I think that, that is playing out as of now. And then remains to be seen that what happens in November related to Black Friday weeks.
Jari Kinnunen: And to cost efficiency development plan and this program. Yes, it's true that we've been doing that also, of course, in the past, increasing productivity, cost efficiency. We did some reductions also last year in employee numbers. And in different times, these opportunities mature, and there are several levers below that automation, AI among the others. And like mentioned already, this is part of the -- a very central part of the strategy that we introduced earlier this year, and we will continue with the productivity development also going forward and beyond this.
Topi Manner: And if you look at this transformation program, I guess that in the nature of things that we will be implementing, if we look at the things that we did during '24, we basically did continuous improvement within the verticals of the organization. In this transformation, there will be also horizontal end-to-end process optimizations and streamlining of those processes, also seeking synergies between business areas, business areas and the tech ops part of the organization. And with that, there's a bit more transformational element to what we are doing right now to give you a bit of flavor of the nature of things.
Operator: The next question comes from Siyi He from Citi.
Siyi He: I have 2, please. The first one is following up your comments on the cost cutting earlier. I think looking at the past, it's probably one of the rare times we see that you announce a major staff reduction. Just wondering if you could comment on the current negotiation progress with the unions. And if you could -- in what areas if mobile, ISS, we see most of the staff reduction from your program? And the second question is if you could talk about the market position in B2B. I think in mobile; you showed some decline in mobile ads in B2B. But I think last quarter, you mentioned that have won some contracts. Just wondering how should we square your comments from last quarter and this quarter's performance?
Topi Manner: Okay. Thank you for that. So if I take the staff implications first and how they will be divided and distributed within the organization. I mean, the overall estimated number of job reductions within the company will be 450 of that, 400 will be associated with our businesses and functions in Finland, namely Consumer business, Corporate business, corporate functions and the tech ops part of the organization. And then that also means that in Finland, the union dialogue is important that has been initiated. We have a good tradition for collaboration in that space, and then we will be proceeding with that when we implement these changes during the weeks to come during the remainder of this year. And then coming back to your other question about the B2B and the customer wins. Yes, during Q2, we won significant new customers, especially for our IT business and sort of all-around customers in B2B in a sense that they would be having connectivity services like corporate networks, cybersecurity and IT services. And the sort of takeover of those services has partially commenced and will continue during Q4, but it is not in any material fashion impacting the Q3 numbers yet.
Operator: The next question comes from Terence Tsui from Morgan Stanley.
Terence Tsui: My question was just again on this cost-saving program. Just wondering why you haven't been a bit more ambitious. I think some of your Nordic peers have been a bit more aggressive in taking out their headcount. From my calculation, it's roughly about 7% of the headcount. So just wondering why didn't you see scope for maybe a bit more aggressive cost cutting, please?
Topi Manner: I mean if you look back a bit and include the sort of continuous improvement measures that we did during the '24 -- calendar year of '24. During that year, we reduced some 300 people in terms of staff. And then when you calculate the impact of the transformation program now into it, then that total number is quite equivalent to what we have been seeing some of the other players doing. Then I think that there's a difference in terms of how we have been doing it. We have been doing it predominantly with continuous improvement measures and now also figures of the cross-functional sense of this -- or cross-functional nature of these initiatives, introducing this transformation program to accelerate the implementation of the strategy. So we have been implementing it in and designing it in a little bit different way. And then, of course, there has been this strong culture of continuous improvement in the company for a long time. And therefore, we have been cost efficient previously as well.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Vesa Sahivirta: Thank you for your questions and participating in this call. And now I give the closing remarks to Topi, please.
Topi Manner: Thank you for all of you for participating this earnings call. And before we close, I would just like to acknowledge Jari and his great contributions to the company during the 25 years that you have been serving as the CFO. So I don't know whether it's 100 quarters or even more than that, but many, many quarters. So your contribution has been invaluable. So thank you for that and all the best for the future.
Jari Kinnunen: Thank you, Topi, for kind words and small correction. Of course, CFO knows the numbers. So it's been 20 years as CFO.
Topi Manner: Yes, 25 years in the company.
Jari Kinnunen: 25 years in the company.
Topi Manner: That's correct.
Jari Kinnunen: It's been -- yes, great journey and of course, a great development over the years. And I'm very privileged and grateful that I've been part of that journey and worked with great colleagues in the finance team, in the management team all over the Elisa and of course, with you, Topi, and before that long years with Veli-Matti. And with this audience as well, there has been great cooperation and interactions over the years and big thank you for all for that. And I'm very please -- pleased that I can hand over this responsibility to Kristian going forward and the company is in a great position to continue value to customers and especially also to the shareholders going forward with the strategy in place, with the culture in place and great people in the company. So thank you very much.
Topi Manner: Thank you for participation.
Vesa Sahivirta: Thank you and until the next time. And next week, we are on the road with Jari and Kristian, so we'll meet you where we are. So until next week. Thank you.
Topi Manner: Thank you.